Operator: Welcome to the Primerica Inc.’s Third Quarter 2014 Financial Results Conference Call and Webcast. All participants will be in listen-only mode. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Ms. Kathryn Kieser, Investor Relations Officer and Executive Vice President. Ms. Kieser, please go ahead.
Kathryn Kieser: Good morning, everyone. Thank you for joining us today as we discuss Primerica's results for the third quarter of 2014. Yesterday afternoon, we issued our press release reporting financial results for the quarter ended September 30, 2014. A copy of the press release is available on the Investor Relations section of our website at investors.primerica.com. With us on the call this morning are Rick Williams, our Chairman and Co-CEO; John Addison, Chairman of Primerica Distribution and Co-CEO; and Alison Rand, our CFO. We referenced certain non-GAAP financial measures in our press release and on this call. These non-GAAP financial measures are provided because management uses them in making financial, operating and planning decisions, and in evaluating the company's performance. We believe these measures will assist you in assessing the company's underlying performance for the periods being reported. These non-GAAP measures have limitations and reconciliations between non-GAAP and GAAP financial measures are attached to our press release. You can see our GAAP results on Page 3 of the presentation. On today's call, we will make forward-looking statements in accordance with the Safe Harbor provision of the Securities Litigation Reform Act of 1995. Forward-looking statements include any statements that may project, indicate or imply future results, events, performance or achievements and may contain words such as expect, intend, plan, anticipate, estimate and believe or similar words derived from those words. They are not guarantees and such statements involve risks and uncertainties that could cause actual results to differ materially from these statements. For a discussion of these risks, please see the risk factors contained in our Form 10-K for the year ended December 31, 2013. This morning's call is being recorded and webcast live on the internet. The webcast and corresponding slides will be available on the Investor Relations section of our website for at least 30 days after the presentation. After the prepared remarks, we will open the call to questions from our dial-in participants. Now, I will turn the call over to Rick.
Rick Williams: Thank you, Kathryn and good morning, everyone. As you can see on Page 4, during the third quarter of 2014, our operating revenues grew 9% and net operating income increased 2% compared with the prior year period. Net operating income per diluted share was $0.76 and net operating income return on adjusted equity was 13.8% for the quarter. These results were driven by strong product performance including, a 10% increase in total investment and savings product sales and a 16% growth in average client asset values as well as an 11% growth Term Life adjusted net premiums year-over-year. During the quarter, operating revenue outpaced net operating income partially due to the accelerated recognition of expenses related to changes in retirement provisions of employee equity awards issued in February, 2014. Following the change, Primerica's most long-term employees who are at least 55 years old, whose age plus years of service equals at least 75 years, will upon retirement receive the full vesting of those equity awards. Since approximately, one-third of our 2014 employee equity award recipients meet this criteria, insurance and operating expenses increased by $5.1 million during the period. This third quarter expense reduced net operating income per diluted share by $0.06 and net operating income return on adjusted equity by 1.1%. During the third quarter, we also experienced high claims volumes that incurred claims reported at approximately $3 million or $0.04 net operating income per diluted share higher than historical trends. Adjusting for the accelerated equity compensation expense and higher incurred claims return on adjusted equity was in line with the expected 15% to 16% range and operating earnings per share would have been higher by approximately $0.10. Net investment income continued to experience downward pressure in the third quarter from lower yields on invested assets and annuity growth in our invested asset base from share repurchases. During the quarter, we retired $30.5 million of Primerica's common stock to October, we have repurchased $96.8 million of common stock retiring $2 million shares year-to-date. A redundant reserve financing transaction completed in July should enable the execution of our multi-year capital strategy to return approximately $150 million of capital to shareholders annually through 2016. Now turning to production results, in the third Term Life Insurance policies issued increased 2% from the year ago period and declined 7% from the seasonally strong second quarter. Average annualized issued premium per policy remained consistent with both third quarter of last year and second quarter of 2014. Productivity in the third quarter of 0.19 policies per Life licensed representative per month was consistent with the prior year period, and lower than seasonally higher second quarter. Year-over-year investment and savings product sales increased 10% aided by favorable market conditions and recent product introductions. Retail mutual funds grew 18% driven by market performance. Variable annuity sales benefited from recent product additions increasing 12% in third quarter of last year. Variable annuity products underwritten by Lincoln Financial and AXA represented 79% of variable annuity sales in the third quarter. Managed accounts sales increased 16%, while managed account client assets grew 46% year-over-year. During the third quarter, net flows for positive $171 million and average client asset values were $47.83 billion up 16% from third quarter, a year ago. Sequentially investment savings product sales decreased 4% from the strong sales in the second quarter during IRA season. Average client asset values were up 3% from second quarter. The quality of our investment savings products business is a result of the financial education, we provide middle income families. One of the basic investment principals we teach our clients is how dollar cost averaging through systematic investing overtime can help them reach their retirement goals. Due to this educational and systematic approach, roughly half of our total retail mutual fund sales are from existing clients and over 70% of our client accounts are in qualified retirement plans. In the third quarter, over $580,000 or 24% of the US mutual fund accounts in our platform invested new money through previous day authorized bank drafts because the majority of our clients are long-term investors, they're less likely to act on short-term market movements and their actions generally lag both positive and negative longer term market trends. Primerica's redemption rate is historically been lower than the industry, it was 10% in the third quarter. Now John will discuss distribution results.
John Addison: Thanks, Rick and good morning, everybody. We are pleased with the continued growth of the size of our sales force. The increase in Term Life policies issued and the double-digit growth in ISP sales achieved in the third quarter. As you can see no Slide 5, the size of our Life license sales force increased 4% to 97, 966 representatives in the third quarter versus the prior year period. Although, year-over-year recruiting and licensing comparisons were difficult. The post-convention incentives in July and August, 2013 resulted in elevated recruiting levels that led to more life insurance licenses in September and October of last year. In the third quarter of 2014, recruiting and new life licenses declined 5% and 9% respectively compared to the year ago period. On a sequential basis, the size of life insurance license sales force grew 1%, while new life licenses declined 3% compared with the second quarter due to recent recruiting levels as well as seasonally higher licensing in the second quarter. The ratio of new representatives obtaining a life insurance licenses decline slightly on a year-over-year basis. It was consistent with the second quarter of 2014. The ratio of representatives were new in their life insurance licenses slightly improved over both to prior year and the prior quarter period. In each quarter of 2015, we expect this non-renewal ratio to be approximately 8% with some quarterly variation. We are working to increase recruiting levels through incentive modifications and promotions in order to feed [ph] the licensing pipeline and grow the size of the sales force. We've also recently increased our focus on the Millennial market including new millennial-centric media, mobile sales tools and training. Incremental enhancements are also being made across the business to drive sales growth. As an example, our PC-based financial needs analysis is been migrated to web-based technology enabling the recent introduction of a mobile financial needs analysis application and we've had more robust illustration software for our investment business. We continue to work with key states to improve the life licensing task pass rates and administrative processes. We have simplified representative administration by greatly expanding the functionality of our client web portal, with the ability to execute policy amendments, policy change forms and child rider conversions. We feel good about the positive momentum that is been created from these initiatives. In September and October activity levels increased. Recruitment of new representatives and the life insurance policies issues and the sales of investment and savings products. All experience solid growth over the prior year period. In the fourth quarter, we anticipate the number of representatives in the Life licensed sales force to increase from the third quarter of 2014 in line with the increase in the size of the sales force, between the third and fourth quarter last year. As we drive towards, 2015 we continue to work on initiatives and business enhancements focused on supporting our sales force and building long-term distribution. Now I will turn it over to Alison, to walk through our financial results.
Alison Rand: Thank you, John. Good morning, everyone. Today I'll cover segment operating results followed by a review of company-wide operating expenses and invested assets. Starting with Term Life on Slide 6, year-over-year operating revenues increased by 9% largely driven by 11% increase in adjusted direct premium. Total direct sales grew 2% year-over-year generally driven by the growth in base amount enforced. Primary direct premiums grew 22%, our legacy direct premiums declined to 3%. We expect primary direct premiums to continue to experience strong growth as we layer on new business. Legacy direct premiums as well as premiums ceded to Citi should continue to decline approximately 3% to 4% on a year-over-year basis, as this close blocks runs off. Allocated new investment income was relatively flat with the prior year period, as growth in assets require to support the segment was offset by lower yield on invested assets. We will continue to see pressure growing allocated net investment income, while yields available on new investments remain lower than maturing assets. Total benefits in claim, net of other ceded premiums increased to 60% of adjusted direct premium. Higher than the typical 59% range between current claims that were approximately $3 million above the historical trend. We believe, this was a statistical fluctuation and is not atypical of incurred claims volatility, we experience from time-to-time. The increase largely relates to the average face amount of reported claims, which increased by 11% in the quarter. A number of reported claims was in line with historical experience. We expect total benefits in claims to return to the typical range experience in prior periods, although volatility from quarter-to-quarter should always be expected. DAC amortization and insurance commission's increased as a percentage of adjusted direct premiums from 14.9% in the prior year to 15.4% this year, reflecting the shift in our incentives towards more deferrable programs in recent years. This higher level of commissions deferrals will continue to put pressure on this ratio, of following any changes in our compensation structure, should normalize in 2015. Persistency slightly improved compared with the third quarter a year ago. In the fourth quarter, persistency should slightly decline in line with typical seasonality causing DAC amortization increased as a percentage of adjusted direct premiums, versus the third quarter. Term Life 's Insurance expenses included $2.5 million acceleration of equity compensation expense that I will discuss further in a minute. Adjusting for that item, Term Life Insurance expenses increased as normal business growth the run-off of Citi allowances and the annual accrual true-up for employee benefits. The ratio and insurance expenses to adjusted direct premiums increased to 10.1% or adjusting for the equity compensation accelerated expense was 9.1% roughly in line with recent trends. For the quarter, Term Life 's operating income before income taxes declined 8% to $45.9 million and the segment's operating margin declined from 24.4% to 20.1% year-over-year. Adjusting for the accelerated equity award vesting in higher than normal mortality, the operating margin would have been 22.5%. On a sequential quarter basis, operating income before income taxes declined 17% as growth in adjusted direct premium was offset by higher employee related expenses and incurred claims in the third quarter, as well as seasonally favorable persistency in the second quarter. Looking at the Term Life segment, new term pretax operating income as a percentage of direct premiums slightly declined versus the prior year period, due to elevated insurance expenses and incurred claims as well as higher DAC amortization in the third quarter of 2014 from increased commission deferrals in recent years. In legacy, pretax operating income as a percentage of direct premiums declined to 5.5% year-over-year reflecting higher incurred claims and downward pressure on allocated net investment income due to the low rate environment. As a reminder, we will discontinue reporting new term and legacy sub segment results in our financial supplement in 2015. Now let's move to the investment savings product segment on Slide 7. Operating revenues increased 13% in the third quarter, driven by 12% growth in sales-based revenues and 15% growth in asset-based revenue compared with the prior year period. Drawn mutual fund and variable annuity sales drove a 10% increase in revenue generating product sales, leading to the growth in sales-based revenues. Sales-based commission expense were in line with sales-based revenue. The increase in asset-based revenue was consistent with the growth in average client asset value, primarily reflecting US and Canadian market performance. Asset based revenues and asset based commission expense growth were in line year-over-year, when considering that Canadian segregated fund, sales commissions paid to our sales force are recognize over future profit stream as amortization of DAC, or to a lesser extent insurance commission. DAC amortization remained consistent with third quarter, a year ago. Year-over-year account-based revenue increased 5% reflecting the 4% growth in our fee generating accounts, which was primarily driven by growth in managed account. Investment in savings products operating income before income taxes, year-over-year was 17% driven by the aforementioned factors as well as we lower legal fees and expenses, partially offset by higher employee and growth related expenses in the year ago period. On a sequential basis, ISP revenues increased 1% and operating income before income taxes grew 2% primarily reflecting growth in average client asset value in the third quarter, partially offset by seasonally higher product sales and slightly lower Canadian segregated fund DAC amortization in the second quarter. On Slide 8, you can see that corporate and other distributed products operating revenues declined 9% to $16.6 million. The declined results from lower allocated income, Net Investment Income reflecting share repurchases and a run-off of assets with book yield higher than those currently available in the market. We also experience a lower return this period on the deposit asset backing, a reinsurance agreement. Operating loss before income taxes in this segment remained consistent year-over-year. Revenue trends combined with the accelerated equity compensation expense and an annual employee benefit accrual true-up, more than offset a $4.4 million increase in policy reserve in the prior year period for certain non-term insurance products underwritten by our New York subsidiary. Now turning to insurance and operating expenses on Slide 9. Insurance operating expenses were $76.7 million for the quarter, up $8.9 million from the prior year period. The year-over-year increase was largely driven by the $5.1 million of accelerated employee equity award expense that I'll discuss further in a moment. In the third quarter, employer related expenses increased $2.2 million from the year ago period. $1.1 million of the expense was related to an annual accrual true-up of employee benefits, with a balance reflecting annual merit increases. The decline in legal fees and expenses from the prior year was offset by increases in expenses largely related to growth in our Term Life and ISP businesses and the run-off of Citi reinsurance expense allowances. On a sequential quarter basis, insurance and operating expenses were up $6.2 million, mainly due to accelerated equity compensation and the annual employee benefit accrual true-up. Adjusting for the accelerated equity compensation expense. Third quarter insurance and operating expenses were $71.6 million. We expect our fourth quarter insurance and other operating expenses to be roughly consistent with the adjusted third quarter level. Before I move on to expenses, let me provide some detail on what you should expect expense wise going forward, from the retirement provisions, we added to equity awards this quarter. the plan modification, that's only the timing of expense recognition and the not the total amount of expense to be recognized. Beginning with the 2014 equity brand. Expense will be recognized immediately for retirement eligible recipient rather than being recognized of the three-year vesting period of the award. To the extent, we continue to grant equity awards in the first quarter each year, a resulting portion of equity award compensation expense attributable to retirement eligible employees will be recognized upon the grant date in the first quarter, rather than spread over three years. For example, in the first quarter of 2015, we expect to issue another grant that will include these new vesting on retirement provisions. Assuming grant levels and distributions consistent with the 2014 awards. The impact of those provisions should accelerate roughly $6 million of extent into Q1, 2015 that otherwise, would have been spread over three years. The accelerated expense should be offset by lower expenses in each of the following quarters, for a net higher expense of approximately $3.1 million and full year 2015, then would have been recognized under our original vesting program. We anticipate annual expenses will return to a normalized run rate, once we have three tranches after investing under these new terms. On Slide 10, you can see that investments and cash totaled $2.23 billion as of September 30, 2014 up from $2.04 billion at June 30, primarily due to the $189.8 million asset that was received as part of the redundant reserve financing transaction. This asset was offset by surplus note in the same amount reflected in liabilities and is not included in our discussion of portfolio metrics. The average book yielded investments excluding cash, at quarter end was 4.62% down slightly from 4.76% at June 30, as the yield on new purchases were lower than the asset that matured. During the quarter, the new money rate on purchases was 2.29% down from 2.55% in the second quarter. this rate was negatively impacted by the purchase of short duration high quality asset-backed securities in Primerica Life, in anticipation of ordinary dividend payments to the holding company. Excluding the purchases of these asset-backed securities. The average yield on purchases for the quarter was 3.63% which is more in line with recent periods. The liquidity profile of our holding company continues to be very good. As Rick mentioned earlier, the completion of the reserve financing transaction plus with any strong position to execute our stated capital deployment plan are returning approximately $150 million of capital to stockholders annually through 2016. Our general expectation is return capital to shareholders rateably [ph] through the year, the pace at which we will move capital from Primerica Life to the holding companies will be governed by our ordinary dividend capacity pursuant to Massachusetts statues. We moved $68 million of capital from Primerica Life to the holding company in the third quarter and plan to leave about $165 million in the fourth quarter. Our RBC ratio is expected to fall to the low-to-mid 400 range in the near term. As of September 30, 2014 a holding company had invested assets in cash of $93.8 million more than ample to cover its modest cash needs. Our anticipated ordinary dividend to the holding company in the fourth quarter will result in a buildup of capital at the holding company by year end in the $190 million to $200 million range, which will support capital deployment in 2015. I'll now turn it back over to Rick.
Rick Williams: Third quarter results were marked by solid growth in recurring Life insurance revenue and strong investment savings product sales. As we look to the future, we'll execute initiatives to grow distribution capabilities and increase earnings. Continued success in executing our organic growth strategy coupled with our share repurchase program will drive operating earnings per share, a return on adjusted equity expansion long-term. We'll now open it up for questions.
Operator: Thank you. (Operator Instructions) and the first question comes from Sean Dargan with Macquarie
Sean Dargan – Macquarie Capital: My first question is about claims experience. I'm wondering if you saw, a different experience in the new Term Life block versus the legacy block and I think, Alison said that number of claims was in the expected range, so does that suggest we are talking about severity in our frequency?
Alison Rand: The answer to the last question is, yes. We did see, as I mentioned in my comments about 11% increase in the average size of the claims, the frequency was very much in line with our historical expectations. We'll mention that, so as we just closed out October. We did see, both frequency and severity come back to normal trends in October, so that was encouraging news for us. With regard to the breakout between new term and legacy. Most of it was legacy, I'd say two-thirds was legacy, was about less than one-third being new term.
Sean Dargan – Macquarie Capital: Okay, thanks and then just in terms of capital of the holding company. I think you mentioned rateable [ph] capital return over the course of the year, but it seems that you'd have enough capital to front load say $150 million of share repurchase in 2015, is that correct?
Alison Rand: We would have enough, most likely because we are planning to take our another $165 million in the fourth quarter, that said, we are as we mentioned in the past trying to stick to a very rateable [ph] throughout the year approach consistency etc., another thing, by doing it throughout the year, I gives us the ability to watch the stock price and hopefully maximize, how we are doing this repurchase.
Sean Dargan – Macquarie Capital: Alright, thank you.
Operator: Thank you and the next question comes from Steven Schwartz with Raymond James and Associates.
Steven Schwartz – Raymond James and Associates: Got a few, first for John. John, could you explain why there is seasonality in the second quarter versus the third quarter in converting people from recruits twice as the agents?
John Addison: Well, the seasonality was that we had lower recruiting in the first two months of the quarter because a year ago we had a big incentive coming out of the convention that ran for those two months that was very recruiting focused. So it was a significant incentive, so that recruiting level fills the pipeline, what you're getting licenses? The good news is, that in September and October after that comparison left as I said, we had solid recruiting comparisons to a year ago. So the goal is to continue to drive that, build the pipeline and as I said, our view is that in the fourth quarter. We will have growth in the sales force in line with what it was a year ago, but it really kind of falls Steven, on the comparison of convention year versus non-convention year. Is what drives that difference for us.
Steven Schwartz – Raymond James and Associates: Okay, I was thinking about relative to and maybe I'm just not understanding, but relative to second quarter of this year. For example, I tend to look at and I think you've suggested in the past kind of look at license agents relative recruiting the quarter before. So recruiting was higher in the second quarter than in the first quarter, this year, but new license agents are down third quarter versus second quarter, that's kind of what I'm looking at.
Rick Williams: Hi, this is Rick. As you correctly said, we do talk about sort of quarter delay and looking at the licenses. It's actually a little bit more complicated in that and the true dynamic is that, March was a very big month recruiting month and typically is a very big recruiting month and they get licensed in the second quarter. so that, even though the first quarter recruits is not a very high recruit quarter, by the fact that you get a lot of recruits in March it drives licenses in the second quarter. does that help?
Steven Schwartz – Raymond James and Associates: Yes, that makes sense. Thanks, Rick. Okay and then, if I can continue I just want to stick with distribution here. Is there any ISP is really been growing, it's been growing rate, it's been growing as a percentage of income, as a percentage of sales, the whole bit. Is there anything going on, with regards to maybe increasing the number of agents who become registered?
Rick Williams: Actually, we have been focusing on that and we have been seeing slight growth in the number of agents that get securities license, so that is a piece of the improvement in total sales. Quite frankly, the larger piece of it relates to the introduction of new products and the enhancements we've made to the business. We've talked about, we now TurboApps on our mutual fund business. So 70% of our mutual funds, over 70% of our mutual funds are being done on a mobile device, that's different than this time last year. So by making it easier for the field do business and by adding new products that's the large part of the growth in the ISP business. With some slight growth in the number of securities licensed agents.
Steven Schwartz – Raymond James and Associates: Okay and then one more, Rick. Anything new on the Canadian licensing requirements?
Rick Williams: No, not at this point in time. It's a work-in-progress. The issues that we've raised have gotten attention in the industry and we are hopeful that the regulators will focus on these concerns, but beyond that no more, nothing more to comment on.
Steven Schwartz – Raymond James and Associates: Okay, thank you, guys.
Operator: Thank you and the next question comes from Dan Bergman with UBS
Dan Bergman – UBS: I guess, I can talk just a couple ones on ISP sales. It looked like the variable annuity sales continue to tick up in the quarter. I wanted to see, if there is any sense you can provide on how much of the reasonable momentum, in this product is related to the AXA product that was introduced earlier in the year and as lately, should we think of the current VA [ph] sales level as potentially sustainable or would you expect to fall off that kind of initial wave of AXA sales leads the way?
Rick Williams: In the quarter, 21% of sales were the new AXA product. So it has generated, it has been a successful introduction having said that, we don't believe that's driving overall sales. More than, sort of what's going on in the market. So I would expect normal seasonality as you look at the quarter, but I would not look at third quarter being abnormally high.
Dan Bergman – UBS: Okay, great that's helpful and then I guess just on index annuity. It looks like, the sales in the product dropped to decent amount in the quarter. Similarly, just wanted to see if you can give any color on what kind of drove the third quarter result and how we might expect that product to trend.
Rick Williams: Yes, I mean when you look at the dynamics of the fixed index annuities. The product guarantees are a core component of the attractive nature of that product and if you look at what's going on, with the positive market movement over the last couple of years and sort of the improvement in consumer confidence, people have had a greater appetite for investment risk and so we could see that as cycling [ph] of consumer appetite for risk and that's primarily driving the decline in the third quarter from year-over-year.
Dan Bergman – UBS: Okay, great and then last one. I believe you mentioned earlier in the call. Some efforts you're making to better reach the Millennial generation. I was just hoping, you could expand a little bit on your strategy for how you're targeting this group?
John Addison: A big piece of it, the biggest piece is messaging. I mean, one of the things that is, that drives things at Primerica's focus and so there is been a huge focus both in recognition, in message and then also, we've been running the initiatives, we do our communication, our recognition all those through Millennial filter. Where we've had a working group of some of our top young Millennial sales force people that are growing like crazy right now and to look at everything we're doing instead of just a bunch of 55-year olds in here sending things out to them to make sure, that what we are doing both message and delivery wise and then as Rick talked about and as we talked about in there. We've been doing more with mobile apps and with you know being able to do the business, the way Millennial's communicate and do business, but I will just say the biggest issue and the biggest thing we've been doing is focus and message that we have a great business opportunity for young people, who want to be entrepreneurs instead of being a J-O-B just over broke. We are seeing very good results from it and plan on continuing to focus and continuing to improve, but in all honesty using them to help us drive, the deliveries that we have for.
Dan Bergman – UBS: Very helpful, thank you.
Operator: Thank you and the next question comes from Mark Hughes with SunTrust
Mark Hughes – SunTrust: Any observations, now that you have closed the month of October about high ISP sales, given the extreme volatility. Let's say in the market, could you just see an impact on your business?
John Addison: As I said, again without giving specific. No we have not, when we look at the front of our business. October, recruiting was good, Life Insurance product was good, and investments production was good. Okay, so we have not seen any result yet where people are going, oh! the market is getting squirrely. So again, though as we've told you many times. We tend to lag from a production standpoint. The market, when things go down, we look better for a while because we lag and when things go up really quickly, we lag it in production also that direction, but what we saw in October was a solid month in each of those metrics.
Rick Williams: And given our short lived the correction was, we're hopeful that we'll impact sales in November as well.
Mark Hughes – SunTrust: Any broader thoughts on why you've seen some strength lately. Easier comps, I know but any new recruitment, incentive programs, the economy is getting better, just any more global thoughts?
John Addison: Again, as I said on the Millennial biggest thing has been focus. Primerica – I've use the analogy Whac-a-mole. I mean, you hit one thing and something else pops up and it is a, what you focus on growth business and we're running a contest right now to the El Conquistador in Puerto Rico, which closes in November. Where people get to go in February, that seems based upon what we're seeing have been a very successful contest and with some of the things we changed to meter recruiting up a little bit, to bring more young people to it. Again, what we are just trying to do, is to make adjustments, not changes, but just adjustments to things that focus the business more on recruiting and building and again, too much does not trend create, but those few months have looked good on that front.
Mark Hughes – SunTrust: Alison, in the legacy block the pretax profit relative to premiums, you mentioned it was 5.5%, I know it was impacted by some higher severity this quarter. Where do you think that should settle out in time?
Alison Rand: Well, what we've said in the past, is just a couple things. One was the claims severity and the other was and we've been seeing this pressure is the low interest rate environment, has also got pressure on legacy block. What we have said, historically is that we saw that the number would get to the low 6's over the near-term maybe in high 5%, so this is definitely and abnormally low level. I will remind you that, we are going to discontinue that form of presentation after one more quarter. so that's not going to be trend that we're going to be discussing into the future. specifically to legacy, we're going to focus on the entire block.
Mark Hughes – SunTrust: So still high 5%, low 6's perhaps?
Alison Rand: Yes.
Mark Hughes – SunTrust: Okay, that's it. Thank you.
Operator: Thank you and the next question comes from Ron Devine [ph] from Jefferies
Unidentified Analyst: I've a couple questions. one, can we drill in a little bit more into the sales force and sort of how charge earning and specifically, I'd like to understand. The size of the register rep force is right now in what portion of your earnings, it contributes. Obviously, the missing piece is how much of your Life insurance earnings are coming from that and how is that trending over time because it seems to me that still one of your biggest growth levers. Second, for Alison with respect to Canada. I know you made some comments about the earnings were doing, but I don't think you actually gave a specific numbers in terms of, what you're contributing to the overall bottom line for you and how that's changed year-over-year. And then on persistency, again you talked about the trends, but I was wondering, if we could get a bit more granularity on what you're really seeing in that experience? Thanks.
Alison Rand: Okay, I'm going to work backwards and take, the last and the middle and then hand the first one because I'm actually not, sure what the first – anyway I'll go on the last few. Persistency, what we normally said is that, the second quarter, our strongest persistency quarter and the fourth quarter is our first and the first and third, we will call them average. So that's being in a trend, we've seen basically for as long as I can remember, it has something to do, with when the business comes in, how we associate a lot of our incentives, our trips tend to end in May and November. So that has something to do it with it as well, but it's been a very historical project. It could even have on the ISP side, know you get a lot of activity happening in your tax fees [ph] and so that does give us opportunity to get into people's home. So that's the seasonality we have seen and it's been both persistency and production have been along that, they tend to follow each other. The second item, the middle item was about Canada. We disclose that in our 10-K and our 10-Q. it has stayed relatively stable. It's below 20% of our earnings, there is different ways to look at it, if you're specifically by segment, but it has stayed very stable. If you look at it from a foreign currency perspective, the modifications that we've seen or the movement we've seen I should say and foreign currency side of exchange rate, really doesn't give us too big of hit on the earnings side. Largely because what we saw this particular quarter, was drop off at the very end of the quarter and obviously the P&L is translated on an average basis. So we do keep an eye on that and we do actually show you, in at least the 10-K I have to remember, it's just in the 10-K is what the sensitivities are, with regard to movements in exchange rate.
Unidentified Analyst: Have you thought about hedging that and then just coming back in persistency. I appreciate the seasonality by quarter, what about on a rolling 12-month basis. Where is getting today on the licensees?
Alison Rand: Okay, so on the hedging concept. We certainly keep it on our radar, historically. The Canadian exchange rate haven't been particularly viable. Obviously the dollar has strengthened in recent times, but again it's not all that volatile. So as of now, we do not hedge the income component clearly from the balance sheet perspective all of our Canadian denominated liabilities are backed by Canadian denominated assets. So we do hedge inherently that way, but right now we don't think it's necessary to put hedges on, our income exposures or equity exposure.
Unidentified Analyst: Okay, thanks.
Alison Rand: On the persistency piece. When you look at rolling 12-month, really the way we think it's appropriate to look at persistency is by the duration of the business. So we obviously look very closely what we call 13-month persistency so who continues their policy after that first year and then obviously each duration or after. And so, what we have seen overtime, that's always been very stable, when we had the economic downturn in the 2008, 2009, 2010. We saw deterioration really across the board, so on every duration which really led us to believe that it was the economy versus anything associated with the business and then, we have seen since then, constant improvement in those metrics, again by duration to a point where we are now back to what we would call our historical averages. So we don't look at it per se on a rolling 12-month, but on a duration-by-duration basis, we see a lot of consistency and modest improvement continuing each year.
Unidentified Analyst: Okay, perhaps we could start getting the 13-month persistency numbers put in the snapshot, so we can track them, it'll just make little easier to understand the underlying metrics.
Rick Williams: This is Rick. Let me talk about the registered reps. We agree, very much they're a critical component of our sales force. They're 22%, 23% of our Life sales force as registered to sell securities and I think, part of your question might be is, what percentage of our Life sales come from those 22%, 23% of the total sales force. I don't have a number to give you, but I can talk a little bit about the dynamics. About 10% of our sales force is full-time, so call it 10,000 agents being full-time plus or minus and if you look at 22,000, 23,000 securities reps most of those full-time people will be securities licensed. So by definition they're much more productive, having said that. If you look at the security sales force, a component of the sales force does primarily focuses primarily on securities and just does a little bit of like, their so – it is clearly more productive by the fact that is full-time, but there is a component of that focuses more on the securities business unless on the Life side, but I don't have a number on top of my head, is what percentage of our Life sales come from, the registered reps number.
Unidentified Analyst: One follow-up to that, if you had to estimate, no one is going to hold you to exact number, but thinking on the registered reps, whether I assume is more persistent, you know they've been with you a long time. How much of your earnings, is really being driven by your registered rep force versus the new agent recruits, who were obviously in [indiscernible] that, there's a lot of turnover, a lot of them won't make it.
Rick Williams: Okay, obviously all of the securities earnings come as a result of those numbers and you have 45% or whatever disclosed. So your question does go back, what percentage of the Life business comes from those agents and again I don't have a number to give you, other than to say, if it's 23% of our Life license to agents, it's certainly substantially more than that. As the Life business comes from them, less than half, but larger than proportionate share and profits would follow. Yes, it is more profitable business. Well because their persistency is better, you're absolutely correct on that, but not in a degree that it changes the overall economics of the Life business.
Unidentified Analyst: Okay, thank you.
Operator: Thank you. Now we have a follow-up question from Sean Dargan with Macquarie
Sean Dargan – Macquarie Capital: Another company that some of us cover, CNO Financial has a unit called "Bankers Life" and that company said that they had a challenging recruitment quarter in the third quarter, which they hypothesized might have been related to and improving employment picture. You know, I know in the way down you said that didn't necessarily drive recruitment for Primerica, but now that if you believe the official statistics, the employment picture is getting better, do you anticipate that having any impact?
John Addison: I can't relate it to what they do because I'm not even sure, what their methodology is for recruiting, from our perspective that's really look. An improving economy and better employment is better for us. Okay, again understand we are recruiting people to part time income not full-time jobs, okay and as I said before, when things were horrible clearly we are always saying, people as for opportunity instead [ph]. Our business is the power of positive thinking attached to compensation in financial services and when people feel good and feel optimistic about the future they're more opportunity looking. So in our business – the comparison for this quarter to last year was purely convention. I said in the earnings call in the previous quarter, that we were going to be going against the difficult comparison because we had significant recruiting incentives and we had 30,000 people in the Georgia down instead of ripping out of the door to recruit people. We didn't have that this year. So that's what drove the comparison this year. It has nothing to do with changing employment and all those kind of things.
Sean Dargan – Macquarie Capital: Alright, thanks. So just one last follow-up. Just you know thinking about your return of capital. You have pretty wide dispersion of share ownership among employees and reps. I'm sure, they wouldn't mind higher dividend, you dividend yield is even in a low dividend yield sector is on the low side. how should we think about, where that payout ratio is going to go?
Alison Rand: I'll take this one, so clearly decision is on the dividend are ultimately made by the board. So I can't give you any well forward-looking view towards that, as it is their decision, that said, we are very much aware of where we are vis-à-vis in the peer group, as well as what our expectations are, as different forms of capital returns to shareholder. So it's definitely a topic, we discuss with our board and ultimately it's up to the board to take action on how they want that position.
Sean Dargan – Macquarie Capital: Okay, thank you.
Operator: Thank you. Now we have a follow-up question from Steven Schwartz with Raymond James and Associates
Steven Schwartz – Raymond James and Associates: Couple more, Rick. My understanding of the acceleration of the employee benefits is kind of maybe make room for a next generation at Primerica, is any sense that it is having an effect or is it too early?
Rick Williams: I think it's too early, this is something our compensation committee had been considering for years and there is no anticipated [indiscernible] of anybody, any individual associated with the change, but there was just a clear understanding that people did very much focus on it and quite frankly, part of that focus was, what we adopted was really, what the old city program was pre-IPO and because we had made a change at the time of the IPO. The management team, had been focused on that change and it did, I believe overtime [indiscernible] people from looking at retirement. So we wouldn't anticipate any quick changes, but overtime I think it will make a different as to when people do choose to retire and when we can, give our younger employees new opportunities. so you're correct that's exactly the reason that we did it.
Steven Schwartz – Raymond James and Associates: Okay and then, one for Alison. Alison, the benefit ratio for those of us who have already moved to the new presentation, the benefit ratio for the Term Life business on an adjusted direct premium, that should still be in 58%, 59% range?
Alison Rand: Yes. Probably closer to 59% in the near-term, but definitely we look to going back to our original guidance on what that factor should be.
Steven Schwartz – Raymond James and Associates: Okay, thank you.
Operator: Thank you and we also have a follow-up from Ron Devine [ph] with Jefferies
Unidentified Analyst: Yes, just coming back then, Rick or maybe for both of you and John. Is it fair to say then again for all the attention under growing that, total number of agents, isn't the real issue to growing your earnings, growing to size of the registered rep force and perhaps you can sort of lay out goals or targets for that because that's going to seems to be the key driver for you.
John Addison: Rick, you give yours and then I'll my color. Let me just start, at the end of the day. You got a walk and chew gum at Primerica. Okay, growing at the same time. I mean and which by the way, sometimes we do better than others, but you have to grow. If you want to build this for the long-term, which is what our goal has been since we took the company public, our focus is where is this company going to be the next 5 years, 10 years, 15 years. You have to grow those new people on the front end of the business and while, it may go well. Boy, that's a horror of activity for these are the people. If you want to develop – I'm going to give you an example. One time I was at a securities big incentive trip, where we had all of our top securities producers and most of them are not the people recruiting a lot of people. As Rick said, some of them do a good mix of life insurances and securities and then probably about half of them, just do a lot of securities. Okay, and a lot of times I go, why are you all focusing so much incentive on recruiting and not on us because we are clearly the most profitable people, it's not like you never get that question, from one of them. And so the question I always ask them, is when you recruited about somebody just like you or you recruited, a recruiter. And the reality is, they were recruited by a recruiter. Okay and so to get them, you got to do the front end piece of the business and so it really is, trying to row a boat and make sure, both horse [ph] are hitting the water at the same time and you're not just sitting and spinning in a circle, in the middle of the lake. So recruiting and licensing on the front end, is bigger than the immediate profits, we get from them. It is, what's going to build those people that do what you're talking about for 5 years, 10 years from now. Does that?
Unidentified Analyst: Can we – look at your ability to convert those new agents, discuss that a bit more into registered reps because you've got the biggest registered rep force in the entire country, probably the only one that really targets middle America and so I get the point, you got to get them in right and convert them. I think, it will be helpful to understand, how you're doing that?
Rick Williams: Let me just talk a little bit about that because I actually think that is, a very good question relative to understanding the productivity dynamics there. When people come into the sales force to come in as licensed, as Life licensed reps and we don't try to get them securities licensed until they begin to have some success in the Life business itself. And as you look at the progression of the ladder, that come in as rep promoted to district, division, regional leader, then RVP in the dynamic. Sometime in between, probably the division leader area, we begin to focus them on getting their securities license because you need to be securities license to be in RVP. So to answer your specific question, as to where does the focus occur. Focus doesn't occur until, in the organization building a team and beginning to have some success. I do think, just to follow on the John's question, answer for a moment. If you look at overall productivity of the sales force. Growing the Life side of the business really does mean growing the Life license to size of the sales force. Even though the securities people are more productive on the Life side, as I mentioned, what begins to happens as they become successful in the securities business, they begin to migrate more towards the securities and less of the Life business and what we've seen over the history of the company, is that Life productivity is very much a function of the size of the sales force. On the securities side, we believe that there is substantial room for improvement, even without growing the securities licensed reps, we can grow security sales substantially from a productivity standpoint. You'd asked the question, what is our target growth rate for the registered reps? And I'll go back to our target growth rate for both size of the Life sales force and by definition registered reps is mid-single digits. We are at about, 4% this quarter. So not achieving what we really want to achieve, but we do believe there is room for growth for both the Life reps and the securities reps.
Unidentified Analyst: Very helpful. Thank you.
Rick Williams: Thank you, everyone. Have a great day.
Operator: This does conclude today's teleconference. You may disconnect our lines. Thank you.